Peter Nyquist: Hi, and good morning, everyone. My name is Peter Nyquist, Head of Investor Relations here at Elekta. With me here in Stockholm, I have our President and CEO, Gustaf Salford; and our CFO, Tobias Hagglov, who will then present the result later on. Today's agenda starts off with Gustaf presenting some highlights of the development during the second quarter as well as the strategic achievements in this quarter. Then Tobias will give you details on the financials and the presentation ends with Gustaf's view on Elekta's outlook. And as usual, after the presentation, there will be time for questions and answers. But before we start, I want to remind you that some of the information discussed in this call contains forward-looking statements. This can include projections regarding revenues, operating result, cash flow as well as products and product development. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. With that said, I would like to hand over to Gustaf.
Gustaf Salford: Thank you, Peter, and thank you all for attending our call. And now I would like to focus on the key takeaways for the second quarter of our fiscal year '24-'25. So net sales decreased by 4% in constant currencies, mainly due to Europe and Latin America, while US showed growth. Gross margins came in at 35.7%, a decline year-over-year mainly attributed to the reduced net sales and change in market mix with increased volumes in Ukraine, where we have delivered a major part of the order won last year. But we also saw a major impact from foreign exchange rates. The adjusted EBIT margin declined year-over-year, mainly impacted by the gross margin development and, as expected, higher amortization costs following recent product launches. The cost reduction initiative announced in Q1 has progressed rapidly with reductions visible in the second quarters. Tobias will provide much more detail in his part of the presentation. The book-to-bill ratio came in at 0.99 in the second quarter. There was no really major tenders in the market in the quarter. However, China showed improved order development compared to last year's low level, and we are seeing an increasing public procurement activity in the Chinese market. So all-in-all, the rolling 12 months book-to-bill ratio is at 1.09, a ratio that is well above 1, implying a solid foundation for future sales growth. Elekta Evo, our latest AI-powered adaptive CT-Linac and Elekta ONE Planning has been launched at ASTRO and, in the quarter, also at ASTRO in Washington. Customer feedback has been very encouraging and we see great interest. And currently, we have a handful of installations ongoing of Evos in Europe. And on September -- in September, Elekta Evo was submitted to the US FDA for premarket approval. And we now look forward to providing the US market with the most versatile and adaptive CT-Linac. I'm also very happy and proud to be able to communicate that we have now reached our target to providing radiation therapy access to 300 million people in underserved market six months ahead of our target. It does not only mean that we provide best-in-class solutions to people worldwide. It also means that we extend our footprint and will continue to deliver on installed base and service growth going forward. And moving to the next slide, I will give you more details regarding sales and market development during the quarter. In constant exchange rates, group sales were down 4% year-over-year. In the Americas, growth in the US was fully offset by decreased sales in Latin America. And it's also encouraging to see that the installations in US are showing a positive development. APAC sales was in line with last year. And despite the negative impact of the anticorruption campaign, China's decline was limited to 1%. And we have continued to see the sequential improvements, which are visible in this quarter as well. In region Europe, Middle East and Africa, sales declined by 5% compared to last year when the region grew by 16%, driven by large installations in Spain, Italy and the UK. So the geographical mix in EMEA has been more skewed towards emerging markets, particularly Ukraine, where we have delivered on our commitment to support Ukrainian cancer patients. Most markets in Middle East and Africa also showed growth. Our installed base year-over-year grew by around 4%. If we then move towards our product portfolio, you can see that since we launched ACCESS 2025, we have been accelerating innovation. And recently, we launched our CT-Linac, Elekta Evo and the treatment planning software Elekta ONE Planning. And today, we have the leading and most comprehensive portfolio in the industry with our MR-Linac Unity, our Elekta Brachy Studio, Elekta Evo and Elekta Harmony on the CT-Linac side, Elekta ONE software suite and, of course, the Leksell Gamma Knife Esprit. And looking across our portfolio, we can now proudly say that we enable online adaptive treats in all our product lines, Neuro, Brachy, Linac and software solutions, where our Unity has unique MR imaging and comprehensive motion management technology. The Elekta Evo now complements our Linac portfolio with a high versatility in terms of personalization and productivity. We will leverage our leading product portfolio to drive profitable growth going forward. So if we look a bit closer at the Elekta Evo and at Elekta ONE, Elekta Evo comes with online adaptive treatments or it can easily be upgraded over time if that's the customer preferences. It has the best-in-class image quality due to the AI-enhanced Iris technology and it leveraged our new treatment planning system, Elekta ONE Planning, powered by MIM. This new software offers AI-driven auto-contouring, faster dose calculation and planning, and it is vendor-agnostic to ensure it supports not only Elekta devices, but also other products in the market. Elekta Evo has been very well received among our customers relating to the clinical needs and elevating personalized care, as well as increased productivity. We have received CE marking during September 2024 and we have sent for FDA submission during the second quarter and we look forward to delivering the new solution to our customers in the coming quarters and years. I would also like to give you an update on MR-Linac, Unity, and I'm really happy to report great momentum towards our new adaptive standard of care. And I recently had the pleasure of attending our latest MR-Linac Consortium meeting in Singapore, the first one in the APAC region. Some of the highlights include further clinical evidence that our comprehensive motion management technology with Unity offers more precise patient treatments than ever before. For example, Professor Dan Hyer at the University of Iowa Health Care is now treating lung cancers as their second most common indication after adopting comprehensive motion management, an indication that was previously challenging to treat during the movement of the tumor. Furthermore, Dr. Reyngold at the Memorial Sloan Kettering is drawing fantastic single-fraction study to take patient treatments of liver metastasis for five visits or more down to one visit for the patient, which is hugely valuable for the patient and the clinic alike. Our constantly growing consortium with its members now passed 100 member sites and is progressing rapidly on superiority trials to generate further evidence that our MR-Linac is providing the new standard of care in radiotherapy. With that, I would like to hand it over to Tobias for the financials.
Tobias Hagglov: Thank you, Gustaf, and good morning, everyone. Let's then look into the Q2 results in more detail. During the second quarter, net sales declined by 4% in constant exchange rates. We continue to increase our service business with a 4% growth year-over-year, with growth in most business lines and regions. Solutions sales declined by 10%, driven by Europe and Latin America. Adjusted gross margin amounted to 35.7%. The decline versus last year is explained by lower sales, changed market mix, with increased volumes in Ukraine that you just heard Gustaf said, where we have delivered a major part of the order won last year, increased cost for material, mainly within our service operations and finally, changes in foreign exchange rates had a negative impact of 90 basis points in the quarter. The adjusted EBIT margin declined to 9.8%, mainly driven by lower sales and higher amortization costs following the recent product launches. Net income amounted to SEK215 million and earnings per share to SEK0.55. In the second quarter, we have continued to drive the cost reduction initiatives with the aim to lower structural costs and enhance productivity across the organization. The target is to generate annual savings by around SEK250 million at the end of the fiscal year '24-'25 at an estimated implementation cost of SEK250 million. The program runs according to plan, and in the first half of '24-'25, annual run rate savings of SEK150 million were achieved with a SEK34 million year-over-year savings in the first six months. The implementation cost amounted to SEK144 million and are reported as items affecting comparability. The cost reduction initiative contributed to lower selling and admin costs in the quarter. Then looking into our cash flow, during the second quarter, cash flow after continuous investments amounted to SEK31 million negative compared to SEK211 million positive last year impacted by lower earnings and higher investments. Rolling 12 months net working capital as a percent of net sales improved from a minus 3% last year to minus 5%. In the second quarter, we have continued to make R&D investments in new product solutions and software, amounting to SEK422 million and tangible assets of SEK66 million. Then the rolling 12 months cash flow from operating activities amounted to SEK2.35 billion, which is an increase of SEK63 million year-over-year. Cash conversion amounted to 80%, which is above our target of 70%. With that, I hand over to you, Gustaf.
Gustaf Salford: Thank you, Tobias. And now, focusing a bit on our outlook for the second half as well as the full year of '24-'25. And as previously communicating, during the second half of the year, we expect sales and profitability to pick up from new product launches as well as productivity measures. Net sales for Elekta are expected to grow by mid-single-digits for the full year of '24-'25 with an improved EBIT margin. We are experiencing strong customer interest in our industry-leading offering and a long-term underlying demand for world-leading cancer care solutions, and beyond '24-'25, we will drive for an EBIT margin expansion to 14% and higher. So, to summarize the second quarter of '24-'25, as anticipated, the first half of the fiscal year '24-'25 has been weaker compared to last year, in line with our communication. Profitability remains priority number one. And with our ongoing activities involving price increases, cost reductions, and launching new products, I am convinced that we'll be able to improve the gross margin. This is supported by our accelerating innovation in recent years and all our products are now fully adaptive. Today, we have the industry's most competitive and comprehensive product portfolio, which we will leverage to drive profitable growth moving forward. Thank you.
Peter Nyquist: Thanks, Gustaf. But before opening up for Q&A, I would like to share some information about our upcoming events. We are happy to announce that we will organize a Capital Markets Day on June 10th, 2025 here in Stockholm, where we will present our updated strategy, including some new targets. More details will be followed, but please mark this date in your calendars. You are all welcome to Stockholm. But also, prior to the Capital Market Day, we will be organizing a couple of digital deep-dives, where we present some building blocks leading up to the CMD. The first one, focusing on products and R&D, among other things, will take place on December 19th this year. Invitation will be shortly. It's a digital event only. So, and with that said, we now continue with the Q&A session. Please, operator, can you open up for the first question?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Rickard Anderkrans with Handelsbanken. Please go ahead.
Rickard Anderkrans: Good morning and thank you for taking my questions. So, first one, on orders, could you quantify order growth in China in the quarter and maybe also elaborate on the key drivers of order weakness in the remaining geographies? Thank you.
Gustaf Salford: Thank you, Rickard. Yeah, I was in China a couple of weeks ago and you saw more activities, more interest, and public procurement activities going on. So I think that's a positive. And what we saw in the quarter was strong double-digit growth on the order side. It's an easy comparison, of course, because it was very, it was impacted last year, the Q2. However, what we see is increased activities, strong numbers in the quarter and I see that going through the next couple of quarters as well. We have been successfully being able to drive installations from our backlog over the last years, I would say, and now we're filling up the backlog again and then we will install primarily maybe in Q4 and onwards into next year. So that's our current outlook on China where we have a strong position and we have added functionality with AnSheng joint venture, et cetera, to drive that going forward.
Rickard Anderkrans: And on the sort of other parts of the order weakness in the quarter anything particular to call out there?
Gustaf Salford: I think there's not been any major tenders, for example, in Europe. There are tenders, ongoing discussions, as we know, in Poland and so on. And that has not happened so much as may be expected in the quarter. Then a bit in some markets, they are waiting to place orders more for the new product launches, if you say Elekta Evo and Elekta ONE Planning, and then you have this a bit of the wait impact on the order side. But if I look into the activities, the sales funnel, and into the third quarter, I see good activity in most markets when it comes to order activity. So I look forward to Q3 from an order point of view. I mean 9% to 10% is not a strong number in this quarter. But as said, no major tenders and a bit waiting mode until we launch some of our product releases as well.
Rickard Anderkrans: Okay. Thank you. And second the topic on the sales growth guidance for the year. So it sounds like we should expect relatively muted growth print, maybe around mid-single-digit level for Q3. What brings you the confidence for such a significant ramp in Q4, especially given a softer order print here? So it will be interesting to hear your visibility and the path towards reaching the mid-single-digit portfolio.
Gustaf Salford: I fully understand that comment, but I think you need to look at the book-to-bill ratio on a 12 months basis as well, because that is what has filled our backlog over the last quarters, so to drive the revenue from that backlog and the book and bill ratio. That's one area. Of course, it's also about the Elekta Evo and Elekta ONE Planning and we are now installing in Europe on the Elekta Evo side and we'll take more orders as well. And on Elekta ONE Planning, the software suite, we see a big interest that we then can install faster, because it's software. As well, we see China coming back from low levels. And I also see that the last Q4, we have a bit an easier comparison because I think we were like minus 4% Q4 last year. So, with those factors, it will be skewed towards Q4 for sure. But I think what I see in the sales funnels and activities we have on the supply chain as well that we have the installations coming and growth coming especially for the full year to get to the guidance that we have.
Rickard Anderkrans: Excellent. And if I can squeeze just one more in. So when Versa HD was launched, Elekta shared the data point that they received 30 orders of Versa HD in the first 60 days. Do you have any similar data point to share regarding the launch of Elekta Evo?
Gustaf Salford: I don't have a specific number on the order side, but I can say, big interest, and the good thing I would like to say is that just after the CE mark, we start to do the installation. So we start to see a handful installations that I mentioned already now in the second quarter and that will continue in the third quarter and going forward. But I don't have a specific order number.
Rickard Anderkrans: Thank you.
Gustaf Salford: Thanks.
Peter Nyquist: Thank you, Rickard. We're going to move to the next question, please, operator.
Operator: The next question comes from Robert Davies with Morgan Stanley. Please go ahead.
Peter Nyquist: Good morning, Robert.
Robert Davies: Good morning, both. Thank you for taking my question. My first one was just on the evolution of gross margins. I know you, I think, called out Ukraine and the mix. Within that, I just wondered if you could give us a bit more color on the different moving parts within the gross margin of, in terms of sort of magnitude of how we got to where we were. And then just, I guess, on the Evo product and the ONE product, can you just give us a sense of where profitability on those would be expected to be? Is that sort of underpinning your confidence in the sort of beyond '24-'25 14% plus type of margin trajectory? Is that from -- is that the mix benefit from those products coming in that's going to be the biggest help or how do we get from where we are now to 14% margins? Thank you.
Gustaf Salford: Yes. Thank you. So I think Tobias will take the gross margin question. I will take the Evo, Elekta ONE question into next year so to say.
Tobias Hagglov: Yeah. Hello, Robert, and good morning and thanks for the question here. So if you look at the quarter here and in terms of the gross margin, the three factors here impacting is the lower revenues, negative FX impact, as I mentioned, of 90 basis points and then a changed market mix predominantly here related to the Ukraine installations, which also had a similar size of impact as the FX. So, those were the three. I think also that what we see here, as previously mentioned, we start to see price increases. We have the cost reduction initiative in place. We are not happy here with the level that we are on in terms of the gross margin and we will drive it upwards moving ahead.
Gustaf Salford: Yeah. So, one key factor that moving ahead is, of course, the product launches. So we've been working on the pricing, we've been working on the productivity with the cost reduction program. But in order to have the higher price increases, you need to have new value to the customer and that we do with the product releases. And then you see significantly price increases, because what we do with our new product portfolio is really addressing the need that the healthcare systems have in radiotherapy. They need to treat many more patients with less staff, and with adaptive treatments and better imaging quality and AI-enabled linear accelerators, we're addressing that need. And so, with that also come higher price points, better profitability. And then I think it's also important to say that the software suite or the software part of Elekta's product portfolio have a significantly higher gross margin and margin compared to the devices so to say. So with additional software products and suites that we now can sell to also to the installed base, that will be a key profitability driver. And as previously said as well, our ambition is to get back to the pre-COVID gross margin levels and a key factor of that is the product releases around Elekta Evo and Elekta ONE and Elekta ONE Planning. So that would be, as you say, key factors into the second half of this year, but also into next year.
Robert Davies: That's great. Maybe just one final follow-up. Just on your comments on China, quite a few of the capital equipment names have obviously kind of come out with quite cautious comments on China and the macro backdrop there. I'd just be kind of curious in terms of what's going on the ground. How much of that China dynamic do you think is coming from sort of government-related stimulus? Where are we on sort of anti-corruption measures kind of being a headwind to hospital procurement? Just give us a bit more color in terms of what's going on the ground in China from your side.
Gustaf Salford: Absolutely. I mean, being there, you really feel the pickup in public procurement activity. Then sometimes it's difficult to exactly link that to the stimulus packages. But what I do know is that the country needs a lot more cancer care and maybe especially radiotherapy. And I think that's especially a bit with radiotherapy, because you need the treatment devices where you now have quite a well-built-out radiology and imaging network that's still needs to be strengthened. But you need to strengthen the therapy section even more, because in some parts of China, there could be less than 1 million, 1 linac per million of population. That needs to be solved to take care of an aging population. And I believe, and it is mentioned as well, that radiotherapy will be a big part of the stimulus packages and the public procurement activities. And as you know, Elekta has a very strong position in China with clinical training, with software joint venture, with product development for Chinese needs. So we will continue to focus a lot on China and I look forward to continue to grow and also support China's healthcare systems with building out the cancer capacity with also our partners like Sinopharm throughout the country. And that is what I expect from especially the second half and going forward. Then it's difficult to say exactly how it will play out in Q3 versus Q4, but in the longer perspective, I still see that Elekta has a very strong position to grow in China.
Robert Davies: Understood. Thank you. That's great. Thank you, both.
Gustaf Salford: Thank you.
Peter Nyquist: Thanks, Robert. Next question, please?
Operator: Of course. The next question comes from Mattias Vadsten at SEB. Please go ahead.
Gustaf Salford: Good morning, Mattias.
Mattias Vadsten: Good morning. Thanks for taking my questions. First one is just a follow-up. You said on a previous question that you're filling up the backlog in China. I think it would be helpful to, if you could provide a book-to-bill ratio for China here in the quarter to understand how to model ahead. And also I think it's quite notable that it's down only 1% at least in my view. Are we seeing a bottom here of 1% decline and that it should then grow ahead or how would you, can you give any color or flavor on that? It would be helpful for us.
Gustaf Salford: Yes. Thank you, Mattias. Yeah, so I think minus 1% in China right now in the last quarter on the revenue side, that's holding up quite well compared to many other players in the market. So, I mean, we're proud of that number. We're also happy to see strong double-digit growth on the order side in the quarter. The book-to-bill ratio is still below 1, because we need, it's an easy comparison on the order side and we did good installation on the revenue side. But going forward, we should be driving a higher book-to-bill ratio and then installing more of the orders we now took in Q4 and onwards. So that's what I expect from book-to-bill ratios and the dynamics in China right now. And then I think we have a good opportunity on the software side in China, again, based on the JV with AnSheng.
Mattias Vadsten: I think that's very helpful. Thank you. And then if I may, another question. If you could share some thoughts and flavor on how the service margins are developing for Elekta and what we can see and expect there going forward?
Gustaf Salford: Yes, of course. So if I start more on the revenue side and so on and then Tobias will fill in with color on the margin side. The installed base of Elekta is absolutely vital. We have a strong installed base globally. It, as I mentioned, will grow around. It's been growing around 4%. And then our ambition is, of course, always to increase our service revenue with a higher number than the installed base growth. I think with new products, with more of the sales opportunities to the existing installed base with what we then send the Iris upgrade, the imaging upgrade, together with Elekta ONE suite enables us to drive even stronger service numbers going forward. I think also with our ambition to have this, the 300 million people around the world getting access to cancer care, that has resulted in more than 800 linacs in those markets that will also generate service revenue going forward. So I think that's the key thing in the emerging market as well. You need to get to the service revenue growth. So that's the topline implications on what we are working on, growth, but also more products to put on the installed base and also be part of the price increases on inflation and so on. Right now, we have a bit higher cost on the gross margin side. And please, Tobias?
Tobias Hagglov: No. Yeah saying that we had some higher material cost in a quarter within our service operations and we are not fully satisfied with that, but we will improve this going forward.
Peter Nyquist: Thanks.
Mattias Vadsten: Thank you so much.
Peter Nyquist: Thank you, Mattias. Next question, please, operator?
Operator: We continue with Kristofer Liljeberg at Carnegie. Please go ahead.
Peter Nyquist: Hey, good morning, Kristofer.
Kristofer Liljeberg: Thank you. It's Kristofer.
Gustaf Salford: Good morning.
Kristofer Liljeberg: Yeah, hi. Good morning. Coming back to China first, I don't know, did you provide a figure also for the year-to-date order figure in China?
Gustaf Salford: No.
Kristofer Liljeberg: Are you willing to share that whether it's flat up or?
Gustaf Salford: Let us take a look. We are, yeah, so I'm just looking at my paper. So the half year number, you mean, Kristofer, that's a positive number as well. That's around, what I can see, 8%.
Tobias Hagglov: It's plus 8%, yes.
Gustaf Salford: Plus 8%.
Tobias Hagglov: Yeah.
Kristofer Liljeberg: And you said strong double-digits or how you phrased it for?
Gustaf Salford: Yes.
Kristofer Liljeberg: For the second quarter.
Gustaf Salford: Second quarter.
Kristofer Liljeberg: And do you think you could keep China sales flat this year or even grow China sales? Because I noticed, last year, China was actually up year-over-year despite the weak order intake for part of that year.
Gustaf Salford: Yeah. No, so I think that's a key book-to-bill question, Kristofer. So I think what we were able to do last year was to deliver really well from the order backlog, and I think now we are refilling it, so to say, to be able to drive installation growth going forward as well. It's difficult to say exactly how it will pan out Q3 and Q4 and we're a bit cautious there. But of course, we'll do our utmost to install as much as possible of the orders we have been building now in Q1 and Q2 into say maybe especially Q4 and onwards. What that will equal in terms of revenue, we need to get back to that when we have after Q3 and after Q4, of course. But I think what I'm --
Kristofer Liljeberg: But when you're guiding for -- when you're guiding for the Group mid-single-digits, what's the assumption? Would that allow China to be down with a large figure in the third quarter and fourth quarter?
Gustaf Salford: I think we have the backlog to deliver still from revenue from China and then we, as I mentioned, we filled it with new orders as well. So we will drive on that. And if you look back where we were when we put the outlook in place, I mean, we had different scenarios on China there as well. So we have been factoring in different China scenarios in that outlook as well. And now what we have with the successful product launches is an opportunity to drive a lot globally then software growth with Elekta ONE Planning and, of course, Evo. So China, we will do whatever we can to install as much as possible. And we see the positive -- positive signal on the order side in the quarter.
Kristofer Liljeberg: Great. Some other questions. The Mexico order, what's the timing for deliveries there?
Gustaf Salford: I don't have that. Maybe I'll take it.
Tobias Hagglov: So, actually, if you recall, the total size of the Mexican order was $64 million. We took $38 million in Q1 and then the majority of the rest was actually here in the second quarter.
Kristofer Liljeberg: And what about deliveries?
Tobias Hagglov: The deliveries will actually be spread out here over the next years. So they will have a spread out over the next two and a half years in [indiscernible].
Gustaf Salford: You're seeing the first deliveries here's coming in December.
Tobias Hagglov: Yes.
Gustaf Salford: As in the press release.
Tobias Hagglov: Yes.
Kristofer Liljeberg: I thought majority of the deliveries would come end of this year and the first half of next year. Is that still so or now it sounds maybe it's going to be more back-end loaded.
Gustaf Salford: No, it's still so.
Tobias Hagglov: It's still so, yes.
Kristofer Liljeberg: Okay. So this will, I don't know, is it going to be a meaningful contribution to sales in the third quarter or more so in Q4?
Tobias Hagglov: You will have impact from this in Q3 and you will have it in a time frame which you just mentioned, yes. We don't explicitly allocate this between the quarters, but you will see impact here in the next coming quarters. Yes.
Kristofer Liljeberg: Okay. Good. Could you say anything about expected timing of US Evo approval?
Gustaf Salford: I think it's the FDA process, so it's difficult to say exactly. I mean, we're very pleased to have submitted it just before ASTRO, and now we are waiting for the FDA process to have its way. So I cannot say. It's often we refer to 90 days, 180 days, but I cannot say at the moment.
Kristofer Liljeberg: Okay, I understand. And my final question, if you could explain the reason for the large FX impact on the gross margin? What was driving that and how do you see that now for the rest of the year?
Tobias Hagglov: Sure. No, but when you look at the currency development for Elekta, you have -- you can, on a high level, say that we are long in US dollar, we are short in British pound. And actually, here, what you see is that the, so to say, the average here for US dollar as well as the cost on the British pound led to a gross -- negative gross margin impact in second quarter. What you have seen now is actually a further strengthening of the US dollar, which most likely will lead to a less negative impact on gross margin. And let's see how the development goes here during the next quarters. But that is the -- you have sort of a strength in both, on the British pound, as well as on the US dollar. But the trend here is stronger for US dollar. So that is actually, if you look at the sequential trend, right now it's favorable on the gross margin level, but the -- we had a negative impact in the second quarter of 90 basis points.
Kristofer Liljeberg: Okay. That's very helpful. Thank you very much.
Tobias Hagglov: Thank you.
Gustaf Salford: Thank you.
Peter Nyquist: Thank you, Kristofer. So we're ready for the next question, please.
Operator: Absolutely. The next question comes from Giang Nguyen at Citi. Please go ahead.
Peter Nyquist: Good morning, Giang.
Giang Nguyen: Hey. Hello. Morning. Hey, thanks for taking the question. My first question is on the revenue topic. Could you perhaps elaborate on the decline in LatAm that you saw in this quarter and could you comment on whether you expect this to last, this impact to last into the next quarters? And if not then what gives you the confidence that you won't see further decline there? And then, still on revenue, thinking about Elekta Evo's orders turning into revenues in Europe, will it be starting from Q3 or would it be more Q4 weighted? Thank you.
Gustaf Salford: Thank you. So if I start with Latin American net sales question has impacted the region Americas, so we saw that US actually increased, but the main impact was Latin America that was negative in the quarter. And often, Latin America has a bit more volatile development between quarters and between years. So we'll see how it develops now in the third quarter and fourth quarter. We also saw a bit slower numbers in Canada as well, but it was primarily Latin America. If we then look at the sales impact from Elekta Evo, the positive thing is that we started already some installations in Europe, in the Netherlands, Germany, Austria and a couple of other countries as well. So it's very positive that we already now in Q2 have some parts of the Elekta Evo revenue. But more to come, of course, in already Q3 and Q4.
Giang Nguyen: Thank you. And I just have a follow-up on the order side of things. So you have recognized or sorry you have booked the majority of the remaining Mexican order in Q2. So that would work out to be around a mid-single-digit percentage point benefit to your order intake. So, excluding that, the decline seems even more drastic. Outside the US, is there any other region that you would like to call out when it comes to softness in order growth?
Gustaf Salford: Sorry, please, can you take that question again? Sorry, I didn't really get the question. You wanted us to take away the Mexican order from the order number.
Giang Nguyen: Yes, so I suppose the Mexican benefit in your order number in the quarter would be around mid-single-digit percentage point just because you probably booked the majority of the remaining $26 million contract. So, outside of that, the decline looks even more drastic. Is there any particular region outside the US that you would like to call out to explain the decline in the order intake?
Gustaf Salford: We haven't called out any specific areas around that. I mean, the order, you made the order in the quarter. That was more due to European tender process not being there. And that's the main reason for that, the orders didn't come in as maybe expected in the European side. So that's a bit delayed. So that's the main reason for it.
Tobias Hagglov: And which may I add to that. I mean, the European market is, to a very large extent, a tender market that can be worthwhile to also be notified in this context.
Gustaf Salford: Then if you talk about the Latin American sales development, that's something different.
Giang Nguyen: Thank you.
Gustaf Salford: Thank you.
Tobias Hagglov: Thank you.
Peter Nyquist: Thank you, Giang. We'll go further to the next question, please, operator.
Operator: Of course. We have Julien Dormois with Jefferies. Please go ahead.
Peter Nyquist: Good morning, Julien.
Julien Dormois: Hi. Good morning, gentlemen. Thanks for taking my questions. I basically have three. So the first one relates to your guidance for the full year. You obviously refer to mid-single-digit growth at the group level. I was just curious whether you could help us better understand what would be the geographic trends, and more specifically, is it fair to expect maybe mid-single-digit growth in Americas and APAC and maybe a more muted trend in Europe with maybe more like low-single-digits? That would be the first question. Second question relates to the margin trends in the third quarter. So, would you expect year-on-year improvement, both for gross margin and EBIT margin? Is that a fair statement? And I'm again talking about year-on-year and not sequential. And the last question is very general about the new, well, the prospect of potential tariffs hitting trades at the global level. Is there anything that you would flag out of the potential concern around tariff announcements? Thank you.
Gustaf Salford: So, yes, I just take the question. So the revenue side, looking forward, where you see the growth coming from, the second one was more the EBIT --
Tobias Hagglov: Margin development.
Gustaf Salford: Margin development, gross EBIT. And the third one was the tariffs and so on. Okay. Thank you for those questions. So, on the revenue side, we see that we will drive growth in most of our countries and regions. We see, as we mentioned, that China a bit more back-end loaded because we're filling up the margins, sorry, the backlog. We see Europe now been driving good volumes from, as I mentioned, Evo already now. And then on the US side and maybe Americas as well then we need to go through the FDA approval process for Evo to get those installations going. But we can do Elekta ONE and Elekta ONE Planning installations in all those markets. So that's a key product perspective growth coming. I also see Unity is an important driver going forward. We have a good tailwind now from the MR-Linac Consortium meeting that I mentioned. We will drive growth in that area as well. So that's more the product side. But I would say, it's quite broad across the regions, but maybe with a highlight on Asia Pacific and EMEA, I would say, in the third quarter and fourth quarter.
Tobias Hagglov: Yeah. And then talking about the margin improvement here, we don't guide on gross margin, but we stick to the outlook here. And that you've seen that we, in our outlook, it's mid-single-digit revenue growth full year and a EBIT margin expansion. And of course this then also leads then consequently to a margin expansion in the second half. In this margin expansion, it's more skewed then to Q4. So that's how you can think upon it.
Gustaf Salford: Then on the tariff side, I think, it's a bit early to say. As many of you know, we produce primarily in Crawley, outside London, our linear accelerators, as well as in Beijing. So we have kind of two main production sites for the linac side. Gamma knives, primarily Europe as well, as well as brachytherapy. So I think we're quite well positioned to be able to drive volumes from Europe. And then we're also able now to produce all our product lines going forward in China. So that also gives us flexibility. So exactly what will happen with the tariffs? I think we need to go come back to that. But we have been operating in that environment, what was it, seven years, eight years ago and I think we did that successfully. So we focus on what we can do and our supply chains and then we'll see exactly how the tariffs will pan out.
Peter Nyquist: Thanks, Julien.
Julien Dormois: Helpful.
Peter Nyquist: Thank you.
Tobias Hagglov: Thank you.
Peter Nyquist: We'll move to the next question, operator.
Operator: Next question is from David Adlington at JPMorgan. Please go ahead.
Peter Nyquist: Good morning, David.
David Adlington: Hey, guys, thanks for the questions. Most have been asked already, but maybe just on tariffs. I know you just addressed it, but obviously, your biggest competitor has most of their production in the US. Would you look at potentially opening some US manufacturing if required and tariffs are brought in? And if so how long would that take? And then secondly, just on Unity, I just wondered if you had any updates on any progress on improvements in reimbursements, please.
Gustaf Salford: Thank you, David. So I think we have our manufacturing footprint with two main production sites for the linear accelerators. That's the biggest volume business. I don't foresee that we will open up a production site of linear accelerators in the US. We produce the soft electronic brachy equipment actually in the US and we have a lot of our software development in the US as well. But I don't foresee that we will open up a US linac factory so to say.
Peter Nyquist: Unity.
Gustaf Salford: Unity. Yes, Unity and reimbursement. So I think the key thing with Unity right now and what I experienced in the MR-Linac Consortium meeting in Singapore two weeks ago, one week ago was that it's getting more and more, what we call, superiority studies. So, studies that's saying that MR-Linac is better than the standard of care and that took a couple of years to develop, because you need to follow those patients. So we have -- we're starting to get very strong superiority studies to go to the payers with, to ask for the higher reimbursement. So that's one part, and we have a lot of those discussions around the world, and some countries have specific MR-Linac adaptive codes, either from private insurers or public payers. So we'll continue to work with that and, of course, we focus a lot on the US. And in the US, it's absolutely vital to have these superiority studies to have the discussions with the payers. It's also very important that the number of patients per day or per year, especially, on the adaptive MR-Linac treatments. And we've seen that the patient loads is increasing a lot and also the throughput on the system, because our users has learned we work with the software, and so on. So now, it's a very productive system in terms of patients per year, because they do so much ultra-hypofractionations down to two fractions instead of 25. So it's amazing to see, and also that you can see that they can do totally different cases. And I would like to highlight actually glioblastomas, GBMs, an area that you would not treat in this way with a linac before, because the tumor is moving around the brain. And then we showed or our customer Sunnybrook showed a UNITED Study at ASTRO. There was one of the rewarded papers and abstracts in ASTRO showing that you can reduce the margins of healthy tissue around the tumor and improve the treatments dramatically. So I think we are at that stage now. We have a lot of clinical evidence, we have a lot of patients through the MOMENTUM Study. We have more and more of these superiority studies coming out. So I think we have a good kind of tailwind in that aspect to have those important discussions with the reimbursement and payers to go for higher codes for MR-adaptive radiotherapy.
Peter Nyquist: Thanks. Thanks, David, for those questions. We will move to the next question, please, operator.
Operator: The next question is from Sten Gustafsson with ABG. Please go ahead.
Peter Nyquist: Good morning, Sten.
Sten Gustafsson: Good morning. A couple of follow-up questions here from my side. I appreciate you gave the FX impact on the gross margin in the quarter. Could you also break out the -- how much negative impact was related to this Ukraine installation? That would be the first one. And then coming back to the full year guidance, what are the key risks as you see for not achieving mid-single-digit growth. And of the various risk factors, how much of that is sort of out of your control, like FDA approval in the US, for example. So, if you could highlight some of those factors, that would be appreciated. Thank you.
Tobias Hagglov: So, let's start with the first one. In terms of the Ukraine installation, and if you looked at the total market mix impact here, including the Ukraine installations, it's at a same size of order of impact as the currency impact of 90 basis points negative on the gross margin.
Sten Gustafsson: Okay. Thank you.
Tobias Hagglov: Thank you.
Gustaf Salford: And then on the risk side, Sten, I think I have to say geopolitical risk, of course, because it's impacting a lot and it's quite difficult to evaluate at the moment with the topics we discussed around supply chain, tariffs and so on. But we focus on what we can control and that's installing machines around the world and software and selling and so on. So that's absolutely the key, but of course, geopolitics. I think on the FDA side, it's the FDA process, so you need to wait to answer questions and so on. So it's difficult to say exactly how long, but I could say we don't have so much of that revenue into our Americas numbers for the full year. It's primarily into the year after. So other risks than that, I wouldn't say anything specific. It's really about the geopolitical situation.
Sten Gustafsson: Okay. Thank you. Very helpful. If I could squeeze in one last one, that would be great. You booked a bit of Evo revenue now in Q2. Can you split that revenue into upgrades and what's coming from new installations?
Gustaf Salford: All of it was, I would say, new installations. We focus on that. We want to have new machines out in the field treating patients that's and have reference sites and so on. So all of it was new machines. Upgrades will come, but we focused on new installations.
Sten Gustafsson: Okay. I would have thought that upgrades would be easier and drive growth faster but.
Gustaf Salford: Yeah, that will come as well. But I think for us, it's important to install new Evo machines as well to our customers to get early reference sites. That's important to show the technology to other clinicians around the world.
Sten Gustafsson: Okay. Thank you.
Gustaf Salford: Thank you.
Peter Nyquist: Thank you, Sten. So, operator, we are ready for the next question.
Operator: The next question comes from Falko Friedrichs at Deutsche Bank. Please go ahead.
Peter Nyquist: Good morning, Falko.
Falko Friedrichs: Good morning. Thank you for taking my questions. The first one on the US. Could you quantify the order intake and sales growth you have seen in the second quarter here? My second question on China, where do you think we stand with this anti-corruption campaign now and sort of how much longer do you expect this to linger around? And my last question is on the Elekta Evo. What's your latest thinking on the timeline for the US FDA approval? Could you maybe even narrow this down to a specific quarter? Thank you.
Gustaf Salford: Thank you. So we start with the US. We don't quantify specific orders. But on the revenue side, it was a slight growth. So I think that's what you saw in the US as a market within the Americas number. If you then go to China and anti-corruption, I think now it will be a bit of the new normal. They've introduced this process, they will continue with it. So I don't think you should expect a grand date where they stop anti-corruption campaign. It will just keep on going as part of the regular processes. I think that's what we learned from previous processes in FinTech or EdTech and so on. So it's kind of -- that will be the new normal. And for us, we will operate in that new normal. And we've seen successfully now in this quarter that we are growing strong double-digit order growth, and we will continue to drive the installation. So I think that's how we see it based on my experience from visiting them and talking to our local team. And I think we welcome that. So I think that's a positive. But what I'm also sure about is, if you look at their latest five-year plan in the healthcare sector and the need for investments in MedTech, but maybe especially radiotherapy, that would be a positive driver, as well as the stimulus packages that will go primarily to upgrading the installed base out in the hospitals. And in the installed base, Elekta has a big strength, because we have a big, big installed base of linear accelerators that has been there for quite a while, five years, 10 years, 15 years, that we now can have as part of the upgrading program that we have. On the Evo side, it's the FDA process. So I cannot -- I think we need to let -- to have that process its path, and we cannot judge exactly when the timing will be for the approval.
Peter Nyquist: Thanks, Falko, for that question.
Falko Friedrichs: Thank you.
Peter Nyquist: And when I'm looking here at my screen, I don't have any further question. I don't know if you have a different view, operator, or if you have the same one as I have.
Operator: That's correct. There are no more questions.
Peter Nyquist: Okay. But before ending the call, I would like to hand over the word back to Gustaf with some closing remarks.
Gustaf Salford: Thank you, Peter, and thank you for everybody listening in and thank you for your question. And if I just give some concluding remarks, we have really initiated further actions to improve the profitability, our priority number one. So we will continue with price increases, and it's visible in this quarter, but it's more to come. We will also continue working with our productivity measures with cost reduction programs, but also productivity throughout their processes. And of course, we will leverage our latest product launches, Elekta Evo and Elekta ONE Planning and it has been well received among our customers and it is expected to have a positive impact on our profitable growth going forward. So, a big thank you to all of you.
Peter Nyquist: Thanks.
Tobias Hagglov: Thank you.
Gustaf Salford: Thank you. Goodbye.